Operator: Good morning, and welcome, everyone, to the Lucky Strike Entertainment Q2 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Bobby Lavan, CFO of Lucky Strike Entertainment. Please go ahead.
Bobby Lavan: Good morning to everyone on the call. This is Bobby Lavan, Lucky Strike's Chief Financial Officer. Welcome to our conference call to discuss Lucky Strike's second quarter 2025 earnings. Today, we issued a press release announcing our financial results for the period ended December 29, 2024. A copy of the press release is available in the Investor Relations section of our website. Joining me on the call today are Thomas Shannon, our Founder and Chief Executive; and Lev Ekster, our President. I'd like to remind you that during today's conference call, we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance, and therefore, one should not place undue reliance on them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. Lucky Strike Entertainment undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after today's call. Also, during today's call, the company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company's website. I will now turn the call over to Tom.
Thomas Shannon: Good morning, and thank you for joining us today. I am Thomas Shannon, Founder and CEO of Lucky Strike Entertainment. Last week, we celebrated our 28th anniversary beginning with one bowling alley in Union Square, New York and undergoing a few name changes along the way. Lucky Strike Entertainment reflects our commitments to being a world-class entertainment platform. Our company has navigated through turmoil and disruption on multiple occasions. We were the closest bowling center to Ground Zero or 9/11. Half of our events revenue disappeared during the great financial crisis. Even though it seems like a distant memory, we're still experiencing the lingering effects of COVID-19 during which we shut down and quickly rebuilt to where we are today. Six months ago, we reported double-digit growth and mid-single-digit same-store sales, while our peers were down by double digits. However, this most recent quarter came with heightened macroeconomic uncertainty. We began the quarter with the corporate events business on hold due to concerns over the election outcome. Compounding this, Thanksgiving fell a week later this year, shortening the critical corporate events holiday schedule by about one-third. And finally, New Year's eve fell in our next quarter versus being in the second quarter last year. Our sticky lead business continues to grow and retail walk-in customer traffic has been steady despite headlines of the weak consumer. So how did we respond to all of this noise? As we always have, we optimized payroll to reflect the uncertain environment, resulting in a double-digit reduction in payroll hours across many of our centers. We tightened capital expenditures, driving down spending by 33% year-over-year in this quarter. Boomers and our two water parks received new offerings that will help improve our earnings this coming summer. We're investing in incremental marketing channels and improving our corporate events operating structure to bring in new business. We leaned into improving food attachment with our new menu, implementing a selling culture among the staff and adding technologies in center to drive efficiencies and wallet share. We rolled out dynamic pricing and added hot new games for our Arcade business. Food and amusements grew faster than the rest of our business lines. Despite top line pressure, the underlying performance of the different business lines gives me confidence in our long-term operating leverage. And the core product we have built is better than ever. During this quarter, we opened four new Lucky Strike centers, two in Denver, one in Beverly Hills and one in Ladera Ranch, California. Lucky Strike Beverly Hills and Lucky Strike Ladera Ranch, each generated over $1 million in revenue within their first 30 days of operation, a new record. You can view these four new properties images in our investor deck, and I encourage you to do so. They represent an evolution of our best-in-class product that underscores our position as visionaries and leaders in consumer entertainment. We also began the rebranding of centers to Lucky Strike with four centers changed to date and the rollout ramping up. We currently have 21 Lucky Strike centers and will end the year near 75. Our ability to consistently grow despite the challenges we have faced over the past 28 years is a testament to our resilience and the endurance of the business model we have built. Thank you for your support. I will now turn it over to Lev Ekster.
Lev Ekster: Thanks, Tom. As Tom described, there was a lot of noise this past quarter due to calendar shifts and macroeconomic uncertainty, which especially affected our corporate events business. But our job as operators is to focus on the things that we can control, which is why I'm pleased to report on the progress we made on our operating initiatives during the quarter. As you know, we launched the new retail F&B menu last quarter, which has been well received by our customers. Our KPI of food and beverage revenue attachment to bowling revenue grew to $0.80, up from $0.76 a year prior. We continue to lean into our improved F&B offerings at our locations to drive increased average check size and guest satisfaction. Our Net Promoter Score was 74 in the quarter, up from 72 a year prior. We saw improved scores driven by the enhanced food experience as we've rolled out the new food menu to our retail business. Our new venue is now being introduced into our events business across all locations by the spring, the first change to the events menu in 10 years. We expect this new menu to reinvigorate this channel and drive uptake in the next few quarters. In the quarter, we also rolled out handheld tablets for our servers. It is still early days, but we've already noticed signs of efficiencies from the technology as seen in our payroll and benefits costs being down 9% year-over-year. The tablets should allow our servers to cover more lanes and grow check averages through upsell prompts. Lastly, the team was focused on decreasing the EBITDA loss we've been running at the PBA and managed to cut that in half going into this newly launched season. We expect these results to continue to improve as we work closely with the newly hired UTA agency to bring on new sponsors. Now let me hand it over to Bobby to review the quarter's financial performance. Bobby?
Bobby Lavan: Thanks, Lev. In the second quarter 2025 generated total revenue of $300.1 million and adjusted EBITDA of $98.8 million compared to the last year of $305.7 million and adjusted EBITDA of $103.1 million. Our total revenue growth was minus 1.8%, and same-store comp was minus 6.2%. The quarter had one less week of holiday events due to the late Thanksgiving year-over-year and New Year has pushed into the third quarter. The quarter had one less week of holiday events and that push was about a 300 basis point headwind for the quarter. Our retail business was flat, league business up small single digits and events business down mid-single digits in the quarter. Adjusted EBITDA was $98.8 million. We rightsized costs in the quarter to reflect the uncertain macro environment and saw tailwinds from labor, F&B costs and repairs and maintenance. Same-store sales were a $19 million drag that will flow to the bottom line. We limited negative operating leverage through cost efficiencies, and we expect to maintain those cost levels as revenue improves, driving operating leverage. We earned $3 million of EBITDA from new centers and Boomers and Raging Waves were a $2 million drag in the quarter. The investments we are making in Boomers and Raging Waves more than doubled our total addressable market and smooth out seasonality of our business. Raging Waves generated $9 million of EBITDA from June to August last summer, and Boomers should generate similar to that over this summer. We have seen and we'll see over the rest of the fiscal year, lumpiness in revenue. The benefit we expected to get from school winter break being pushed from the third week of December to second week of January, was offset by wildfires in LA. In addition, January, February and March are very important months for our business. We continue to focus on F&B and amusement initiatives, and we expect to see a good lift in the spring and summer from Boomers and Raging Waves. Overall, with the current macro uncertainty, we are taking a cautious view of our guidance for the rest of the year, but we still expect to be within our full year guidance range for the fiscal 2025, as we reiterated in our earnings release this morning. In the quarter, we spent $53 million in capital expenditures. Gross CapEx was $19 million, new build CapEx was $8 million and maintenance was $12 million. We spent $9 million purchasing incremental land at Raging Waves that flows through the capital expenditures line. CapEx is down $30 million year-to-date from the previous year. Our liquidity at the end of the quarter was $397 million, with nothing drawn on our revolver and $81 million of cash. Net debt was $1.2 billion and bank credit facility net leverage ratio was 2.9x. Thank you for your time, and we look forward to seeing you at one of our new facilities in the coming months. Operator, can we now open the line up for questions.
Operator: [Operator Instructions] And your first question comes from the line of Matthew Boss with JPMorgan. Please go ahead.
Unidentified Analyst: You've got Zach on for Matt. Tom or Bobby, to start, can you maybe elaborate on the heightened macroeconomic uncertainty you cited? And maybe just discuss what you're seeing at walk-in retail versus corporate events. And any lead indicators of historical demand you're focused on today?
Lev Ekster: I'll take this. This is Lev. So Zach, I think everyone would be seeing what's playing out in the macro-economic environment right now, when you look at the political environment, there's just a lot of uncertainty. And I think the trade down with the consumer is real right now. The consumer is kind of in this wait and see mode. Some people are holding up. They're not going to take that maybe European vacation. We likely will be a beneficiary of that trade down. But you also see that trade down in the flight from premium alcohol, for example. And so, when you look at our results, food performed really well, but there's definitely some detachment with alcohol, alcohol sales didn't perform as well as our food sales did. And we're seeing the consumer just elect to not make that premium alcohol purchase. In response to that, the team is working on various promotions to drive more foot traffic and late night business to counteract that. But I think there is a flight to value right now, and we plan to be the beneficiaries of that.
Thomas Shannon: Yes. And just to add to that, off-line events, which is really kind of corporate events and office parties, which is a big driver in December. In October, we saw a lot of sort of what I would say, election uncertainty. When we got to December, while people who had planned six months out, they had booked their parties when we got to December, sort of the last-minute parties, they just - they didn't happen. From our perspective, events or what we call offline events is 25% of our business in the second quarter, but it drops down to about 13% of our business for the rest of the year. And so we really saw a lot of uncertainty on the corporate event side, but we've seen good retail traffic, particularly at sort of the trade down plays out.
Unidentified Analyst: Got it. I appreciate it. And then maybe just as a follow-up, kind of following the latest pricing increase you cited last quarter with the new F&B menus. I was just wondering if you can maybe breakdown the composition of same-center sales between traffic and ticket this quarter? And then maybe any initiatives in place moving forward, to kind of drive the embedded acceleration in the back half? Thanks.
Thomas Shannon: Yes. Yes. I mean, traffic was really the comp, but that was on the event side versus the retail side, traffic was flat. Ultimately, the price increases were offset by detachment on the alcohol side. So we're seeing F&B up. We're seeing traffic sort of down on events, flat on retail, and event is just a bigger portion of the business at this point in the second quarter. So ultimately, it like weighs on the comp. Thanks, Zach. Operator.
Operator: Your next question comes from the line of Steven Wieczynski with Stifel Financial Corp. Steven, please go ahead.
Steven Wieczynski: Hi, guys, good morning. So Bobby, just kind of staying on that last topic there. I mean as we think about the next two quarters, how should we be thinking about same-store sales to kind of get you guys into your guidance range. I guess what I'm trying to figure out is, look, there's clearly a tailwind now with New Year's being pushed into the third quarter, but it seems like there's some headwinds as well, whether that's the economy for California, given the fire, I'm not sure if you're seeing an impact there. Just trying to see how we should be thinking about the next two quarters, then maybe elaborate a little bit more about - I think you said in your prepared remarks, you're looking at your guidance range. I think you said the word cautiously. And just trying to understand a little bit more what that means?
Bobby Lavan: Yes. So let's talk about the fires for a second. So the fires were sort of the $5 million hit. The direct fire impact was we had three centers that were down for a while. But generally, we saw a significant pullback in corporate events in January. So January is going to be small down. We expect sort of the rest of the year to be up, but we're cautious on that. So from our perspective, we can make our guide on EBITDA, because we've effectively managed payroll costs, which is our single biggest cost, we've spent $300 million. The revenue is going to continue to be a little uncertain. But ultimately, that events business becomes less important as we go throughout the year. And then you get into the summer months, and we'll have a revised summer pass, an optimized summer pass. We're going to have Boomer's, which Boomer's in the second quarter did about $6 million of revenue in the fourth quarter, it does $15 million plus the Raging Waves, which were expanding their season. And so managing through sort of this macro uncertainty on the revenue, we're going to be a little bit more cautious on our ability, to sort of hit our EBITDA target, is something we feel a lot more confident on.
Steven Wieczynski: Okay. Got you. Thanks for that, Bobby. And then Tom, maybe a question for you and a little bit of a bigger picture question. But I mean, we continue to get asked by investors, what makes Lucky Strike different than other entertainment options. And what I mean by that is, obviously, the Dave & Busters, the top golf of the world are struggling and it seems you guys are just going to continuously get lumped in with them, whether that's fair, whether it's not fair. So how would you combat that narrative, and kind of show the investment community that you guys are, in fact, different from those other entertainment options?
Lev Ekster: I'll take that. This is Lev. So Lucky Strike Entertainment is just a very special concept. We don't even consider it to be exactly the same as our Bowlero concept. So right now, as we mentioned, we're actively working to convert Bowlero locations to Lucky Strikes. We've done four in the last four weeks, with one additional this week. When we convert these locations, it's not just the sign change. This is a training for the staff. It's a totally different level of hospitality. In some cases, in cold weather environments, you're going to find co-check to be included with your experience. We've never offered that before. And menus are completely different, as you know. The training of how to sell the menu, is completely different. The design of the interiors is getting revamped. And when you look at a property like Beverly Hills that we opened last month since early December, that property only has 22 lanes. It did $1 million in revenue in its first month. If you think about those kind of results, you can only achieve that with a special property. And by the way, we opened Ladera Ranch, a week and a half later, also did $1 million in its first month. So - what I would invite the investment community to do is visit some of these properties, see it for yourself, walk the spaces, look at the environments that we've created from the décor, to the layouts, to our game rooms. I'm very closely tied to amusements business, very passionate about it our company. I think we do amusements better than anyone in the business. We started as a bowling company, bowling is still king for us. But I think today, we do amusements better than anyone. When you visit some of our redemption stores in these locations out of the Ladera Ranch, at Beverly Hills, at Northfield that we recently opened called the [Prize Hall] is stunning. And I think the product speaks for itself. I think the results speak for themselves as well.
Steven Wieczynski: That's good color. Appreciate it. Thanks, guys.
Operator: Your next question comes from the line of Jason Tilchen with Canaccord Genuity. Jason, please go ahead.
Jason Tilchen: Yes, good morning and thanks for taking the questions. I guess just following up on one of the comments Lev just made. You talked about how industry branding is not just sort of changing the science, but also some of those other improvements. In terms of sort of where you guys stand, in the overall portfolio and refreshing centers, and sort of putting in those upgrades like amusements and things like that. Just wondering if you can give a little bit of an update, on where that stand overall in relation, to sort of the rebranding progress? And is that a market that you put out of 75 centers that, will be under the Lucky Strike brand at the end of this fiscal year? Thanks.
Bobby Lavan: Yes. So the rebrand process has started. We've achieved the masthead of Mar Vista, San Marcos, Atlantic Station and Houston. And we're going to get a few done a week starting now. The internal part of the change is happening as well. So changing the masthead, my history always gets you kind of like a 10%, 15% bump in retail traffic year one. The question is how do you maintain it, right? And to maintain it means that we've got co checks and cold weather, geos - we've upgraded the amusements, we've upgraded the food. We've upgraded - we go from paper boats to China dishes, like there's a lot of different elements to just improving the experience and that is happening. And ultimately, I think that this is going to be a big tailwind for the business in that if you look at Chelsea Piers, Times Square. These are two beautiful bowling centers, two biggest bowling centers in the world, and they haven't really been that refreshed in 10 years. So the world where we rebrand them Lucky Strike, we add that co-check, we upgrade the amusement, we upgrade the plate wear, we upgrade the food. It's just going to bring it to a different level and this goes to Steve's question is. What is the differentiator between us in kind of some of our competitors, and we are a premium product. People, when they walk into a Lucky Strike, they have an amazing experience. So they pay a little extra sure, right? But it's a premium experience. And ultimately, people want to come back, and we're building a brand that people can get - really get hip on.
Lev Ekster: I just want to build on the question that you asked, which was I think the volume of these conversions. And I think we've really perfected the process of these over these first four, we're doing one, as I mentioned, this week as well. So the team has done the end of this process, because there are a lot of touch points outside and inside the locations, you're going to start to see that ramp up as we get into the summer months. When we have a little bit more availability in the locations to make these conversions. So I think that 75 figure is very realistic. What's also really interesting when Bobby talks about the tailwind this provides, and that number of Lucky's increases, this week will be at 23. As that volume of locations increases, it's also going to open up the opportunity for us, to invest more marketing dollars, right? Because we can spread that around more locations, and we haven't really done meaningful brand awareness, brand building marketing for the Lucky Strike brand. But with 50, 75, 100 of these locations, we can really invest into that now.
Jason Tilchen: Great. That's really helpful review there. Just one other follow-up. I think in the prepared remarks, and Bobby who mentioned, you're working on improving the corporate event operating structure. I'm just wondering if there's anything else you can share in terms of those plans?
Bobby Lavan: A lot to come. But we really want to focus on a lot of food taking. So if you go back to sort of the ethos of the business, Tom built in 1997, with [indiscernible] is we had these beautiful events, we had these beautiful food and people, we would have parties where all the event coordinators in the market will kind of come in, we let them bowl, we let them play arcade and we would serve them this premium food products. That really stopped with COVID. We really, stopped really engaging sort of the customers in selling them the product. And I think that that's something, we're going to bring back, pretty quickly with the way that our F&B portfolio, has really been upgraded in the past few years, is you're going to see a lot of sort of pop up events, where we invite in sort of all the. Sales coordinators or events coordinators of different, companies in their markets and say, isn't this a great product? Why don't you come in and bring your office and that. That's something that really was lost with COVID. When we talk about kind of the lingering effects of COVID, I think the - that selling part of the business, is something we really want to lean into.
Jason Tilchen: Thank you very much.
Operator: And your next question comes from the line of Michael Kupinski with Noble Capital Markets. Please go ahead.
Michael Kupinski: Thank you and thanks for taking my questions. I just have a couple of quick ones here. I just wanted to see if you can add a little bit more color on the margins in the second half. I know seasonally, you have better margins in the back half. You were trending a little lower than expected in the first half. Can you talk a little bit about where that margin pickup might be coming from, Maybe gauges, whether it's Boomer's and Raging Waves or how much is going to come from the shift in New Year's Eve in the quarter? And are there other dynamics at play in the third quarter and the second half?
Bobby Lavan: Yes. So I think there's a few kind of core things. So in the first quarter, you did not see much, if any, benefit from payroll costs being down. In the second quarter, in the comp, we had $10 million of payroll costs down. That's sort of your single biggest driver. F&D we did change over our food provider, our food partner on October 1. So we saw a few million dollars of F&B savings in the quarter on comp. You're going to see that play through the start in the fourth quarter. Additionally, in the third quarter, you'll see a $55 million, $65 million lift over the second quarter. And so, there's just a lot of incremental operating leverage that, happened in the third quarter. And that is something that's really playing out, particularly as Boomer's, which this last quarter was $6 million of revenue, minus $1 million of EBITDA. In the fourth quarter will be $15 million of revenue and $5 million of EBITDA, right? And so ultimately, that negative operating leverage that we're going to have in the second and third quarter, as we invest in more of the summer businesses, will get pushed into the fourth and first quarter.
Michael Kupinski: Got you. Thanks for the color. And then how much of your food and beverage is coming from the sale of alcohol and premium liquors. I know that liquor sales industry-wide are down 7%, 8%, and whether that be from macroeconomic issues, or simply that consumers are shifting beverage patterns, possibly due to healthcare risk. I was just wondering, I know that the younger demographic, is moving to like mocktails. And can you talk a little bit, about whether or not you think liquor sales will come back? Or do you think that there might be, a need to retool the offerings that you have there?
Bobby Lavan: Yes. So just to clarify, alcohol did still outperform bowling and overall food outperformed. It was just that - excuse me, SMB outperforming food which is way more pronounced. And I think that has a lot to do with the new menu, the new focus on selling the new menu. I think the guest reception to the new menu across our properties has been phenomenal. I mentioned our NPS score was up. I think that's correlated to that as well, going from 72% to 74%. But I don't know it's a permanent shift away from premium alcohol, we did notice that alcohol lag compared to food. Now fortunately, we also offer mocktails in our locations, and we'll continue to lead into that. But again, we're not going to sit on our hands and try to find out if it's permanent or not. So I mentioned the team is going to be launching food and beverage promotions, later this quarter, and it's going to have a focus on driving that stronger nighttime traffic, with these value-led offerings. So until the consumer comes back and chooses to upgrade their beverage choices. We're going to lean into promotions, and traffic generating activities to see if we can drive alcohol sales, as strongly as we've been able to do with our food.
Thomas Shannon: We historically have not really done happy hours. There's obviously one competitor in the market, who has our one restaurant competitor in the market that, has done exceptionally well. And that was really through a lot of marketing, and a lot of sort of specials. We think that our locations are very prime for that. It's something we've historically not done. And getting that traffic in 4 to 6 p.m. per happy hour, it's going to be incremental to the business.
Michael Kupinski: Great, thank you. That's all I have.
Operator: And your next question comes from the line of Mike Swartz with Truist Securities. Mike, please go ahead.
Michael Swartz: Hi, good morning. Bobby, maybe just touch on some of the labor efficiencies. I'm just trying to understand maybe the mechanism by, which you're deriving that? And as we think about the year ahead, and yes that the - I guess, the push to lift comps. I mean, is there any risk that by removing that labor, you kind of penalize your ability to grow comps?
Bobby Lavan: So great question. So huge initiatives that has been sort of a core partnership, between myself and Leverage, in that we really want to optimize payroll in the centers, right? And so using data, we've looked at historically what the company did was post September when leagues floored, we ramped up staffing into the holiday, right? And so it's like staffing went from September into December in a straight line. And the business wasn't really there to justify it in the September, October time frame, and so we slowed that down. Now some inside baseball have we probably cut a little too much of the F&B revenue facing labor, yes, but we think that there's some opportunity to continue to optimize. We found that we're relying, a little bit too much on the kiosk mid-week, versus having that server when you've got a lead that's on 40, 50 lanes. Like a server can really justify itself. But this is sort of a lot of the tinkering that Tom talked about in that we're tinkering with our labor. We think that it was good before we're making it better. And ultimately, we're going to optimize labor in every center, by hour, by day based on very defined revenue forecast. And so ultimately, if adding labor is accretive we'll do it. If we're moving labor is accretive, we'll do it. And Lev was really the leader of this. So why don't you give some comments?
Lev Ekster: Yes. Look, I think we proved that we can operate efficiently, during a time when we have to. But like everything else in this company, we're going to continue to fine tune and added back where it's justified. I want you to also consider other initiatives that we've rolled out, and we're going to continue to optimize like server tablets. So server tablets are going to allow a server that historically may be covered four lanes. Now they can cover maybe 8 to 10 lanes, and do it more effectively, and get food into the kitchen faster, and still can buy a better guest service, and also increase their check sizes, because of the problems on the tablet. So it's not just, crude labor operating. It's also adding technology into the equation that will allow us to be more efficient, with our labor.
Michael Swartz: Okay. Thanks. And just the second question. And I know you guys aren't the poster children for tariff risks. But - is there anything to think of just in terms, of some of the prices or sourcing, or anything of that nature where there might be some risk?
Bobby Lavan: So we buy about $15 million of amusements merch, half of that is domestic, half of that's coming from China. So we have $1 million of risk on amusements merch. I think that as it relates to the global supply chain, there is probably a few more million from China tariffs. We don't have much exposure other than on input costs from Canada, Mexico. But really, I'm more concerned about tariffs from like a consumer perspective. Right now, we're seeing softness on events. We're seeing like flatness on consumers, and we're getting the benefit of the trade down on top of we're going to have this very optimized summer path coming. But tariffs really hit sort of that consumer sentiment. There's stats what keeps me up at night, is that from a tariff perspective, not the ones and two is on inputs like those, are never great, but ultimately, I am more concerned about what that would do from a macro perspective.
Michael Swartz: Thanks, Bobby.
Operator: And your next question comes from the line of Eric Handler with ROTH Capital. Eric, please go ahead.
Eric Handler: Thank you. Good morning. I assume your corporate event staff has a database of, all the people have booked parties with you in the past. As they proactively talk to these corporates, are they getting a sense - is this a permanent shift? Or is this something that the corporates view is, hi, it's just a temporary situation?
Bobby Lavan: It's a balance. So I would say there is corporate opportunity going on out there. When we look at sort of the IAPA data, the IAPA data says that 60% of corporates were expecting - were expecting to cut spend in the December quarter, and that's really what we saw. Ultimately, like everything, we're going to optimize as much as we can, but we are - it appears we're going to be optimizing from a lower level to go up. But we've worked through this in the past. As Tom said, we saw 50% of our events just disappeared during GFC. We're going to have to up our game, so it's nice that we really haven't done these F&B tasting to menu is awesome. I would put our menu against any of our competitors in any day. And ultimately, when we get those event coordinators at the big companies and they come in. And they have to choose between us and one of our competitors. Sure, maybe they're doing 20%, 30% less business, but will give us more business, and that's something that we've proven in the past, we can do, and it's just part of the consolidation that's coming out of COVID.
Eric Handler: Okay. And then, Bobby, I know you're saying you're taking a more cautious view with revenue. As you look at the situation now, do you still think that we're in a positive same-store comp environment for the year?
Bobby Lavan: I think there's a lot of innings left in this game, with February, March in front of me, it's hard to really project that at this point. But again, we'll come in flattish up, down a little bit, like it's not going to be dramatic one way or the other. I think, ultimately though, our focus is we are going to be positive total growth and EBITDA, will be up significantly this year.
Eric Handler: Okay. And then one last question. So you bought some land next to Raging Waters. I assume there's some expansion plans you have there. How fast can you pedal there so that could this - whatever you're doing there, be ready for the upcoming summer season? Or is that going to have to wait a year?
Bobby Lavan: No. I mean, we're in - that will be a two to three-year project. We are expanding Raging Waves right now. Raging Waves has sort of a peak capacity of 6,000 to 7,000. We're putting in some changes this year that, should increase that a little bit. But also one of the big changes this year, as we're building out an event pavilion. And so ultimately, events is something that we haven't really done inside that Raging Wave. So that will add to sort of like, not necessarily a peak capacity, but it will add to capacity during the week, where we bring in corporates and local schools, and things like that. But in two years, you'll see us adding slide, as it relates to the incremental land, that's a two to three-year project.
Eric Handler: Got it. Thank you so much.
Operator: And your next question comes from the line of Jeremy Hamblin with Craig-Hallum Capital Group. Jeremy, please go ahead.
Jeremy Hamblin: Thanks. I wanted to follow-up here just to make sure I understood, your kind of expectations on same-store sales trends. So it sounds like January was down maybe low single-digit, several puts and takes there. I think you said $5 million impact from the wildfires, which we would assume is maybe 400 basis points or so, maybe 500 of impact to total comp in the month. But in terms of thinking about the comment that you're going to expect to be flattish, plus or minus a little bit here for the year. Are you still thinking that the March quarter is a positive comp. You're lapping clearly a tougher compare in the June quarter, but just wanted to see expectations here, more near term?
Bobby Lavan: Yes. I'm less focused on the comp. I mean, total growth in the third quarter will be up. Again, as we said, it's a little uncertain at this point. So we feel good about total growth, particularly with Beverly Hills, with Air Ranch, Boomer's, and we've got two acquisitions that will come in, in the quarter. And so ultimately, we continue to be focused on total growth, but our confidence on total growth for the year is high.
Jeremy Hamblin: Got it. Okay. Let's come back to the Lucky Strike conversions, right? So you're excited about what you're seeing there. I think you indicated that typically you're getting a 10% to 15% lift in the business when you complete those. Can you just walk us through the timing that it takes, from kind of initial work on getting the remodels, and the rebranding done, how much does that cost on average, how long does it take to complete?
Bobby Lavan: So really varies by location by market. A component of that, as you can imagine, is the permitting that it takes that, it requires to change the exterior signage. Had it not been for that, we probably do these a lot faster, but that's usually the prerequisite. And then depending on the location, the size, the amount of touch points in the location, anywhere where you would see a Bowlero is changing. A lot of the elements, seating, the games that stuff changes as well. So the cost really varies by location as does the timing, and so we have our list of focused properties that list of 75 that we want to do this year. And you just see almost like on a daily basis the locations changing the order based on who's coming online faster. So what I also wanted to mention is, what happens in parallel to these conversions is a full marketing plan. So again, it's not just the sign change. It's everything that happens outside the location, inside location, physically with the staff, with the hospitality. Then there's also a full marketing support plan that, piggybacks on all of these. And that plan also varies from a dollars perspective, based on the location and what the revenue there is, that we can justify investing marketing.
Thomas Shannon: Yes, I would add. I think the thing as the most exciting about the Lucky Strike rebrand, is we'll spend $10 million, $12 million this year on marketing. That is half of what the company spent pre-COVID. And we've directed a lot of dollars, performance marketing, online continues to crush it. And that has been proven to be a very good trade. But as these Lucky Strike roll out, our ability to go spend $50,000, $100,000 per center to reopen the property. That's how you get sort of that reintroduction to the event community, to the consumer community, to the birthday experience. And so ultimately, we really view the rebrand as a North Star, to kind of really bring the brand back out, and drive that reintroduction to the market that, it's something frankly, we haven't done since pre-COVID.
Jeremy Hamblin: Got it. Just one more from me. So you guys have talked about mobile ordering, improving speed, efficiency. I wanted to just get an update on where you stand in, kind of completing the rollout of that. And kind of how it's measuring versus expectation?
Bobby Lavan: So today, we piloted successfully the handheld server tablets at 30 of our locations. We expect that to be at 100, by the end of the quarter. And it's not just rolling them out and leaving it there, right? Like every day, there's learnings from the utilization of these tablets where we're speaking to the associates using them. We're adding modifiers or improving the flow on the tablets. We're improving the comps, the functionality, the reception of these tablets. These are big buildings that you have to cover. And as I mentioned in the reporting, these are early innings of a new technology, and we're going to continue to tinker and fine-tune it, until it's across our entire organization, but that will be this year. And the efficiencies, I think we're going to pick up, the benefits are really immense when you, again. Consider just how much more coverage, a single server can have with a tablet in their hands, instead of running back and forth to a POS station, when they take orders. And sending that food into the kitchen faster, and getting hot food to the lanes faster and giving their customer an opportunity we're on, during their bowling session. So, if we can improve the guest satisfaction, we're also serving better food, as you know. We're getting it to the consumer faster. They have more time to order additional items, a dessert item, a second drink, another app. All of this is going to really increase our F&B attachment, and that's really the name of the game for us.
Jeremy Hamblin: Got it. Thanks for taking our questions. Best wishes.
Operator: [Operator Instructions] Our next question comes from the line of Ian Zaffino with Oppenheimer. Please go ahead.
Ian Zaffino: Hi, great. Thank you very much. I just want to drill down on the buyback, kind of decision there? And maybe also, Bobby, can you give us a kind of a discussion about what cash flow is going to look like for the rest of the year? How you're thinking about deploying that in buybacks versus deleveraging, or whatever else you want to do, as far as acquisitions. So any color you could kind of give there would be helpful? Thanks.
Bobby Lavan: Yes. We try to balance our buyback with cash generated from operations. We are balancing - these are sort of December to March, we're generating $30 million to $40 million of free cash flow a month. And so, we tie sort of the buyback to that. We're very focused on analyzing our different ROICs that exist on deployment of capital. And right now, the best investments for us effectively are M&A, rebrand and buying back our stock. So those are sort of kind of the key initiatives. We'll continue to sort of deploy capital in that way. Ultimately, deleveraging, is sort of a core focus for mine, but deleveraging doesn't happen in a quarter. It happens over a few years. And that's something that I’m very committed, to getting that lease adjusted leverage below five times in the next 24 months.
Ian Zaffino: Okay. So are we going to be free cash flow positive for the year, backing out CapEx? I'm just thinking about. Okay. Thank you. And then on the Lucky side, or just the business in general, I know a lot of the effort and a lot of the focus recently has been on, call it, premiumizing some of the product, larger ones, one that's across the old FTX arena. How does that then square with, I guess, some of the trade down you're seeing, or kind of lack of the premium purchases? Because it seems like you're kind of going in the opposite direction. So how are you kind of mitigating that, and how are you thinking about that from a business, planning perspective going forward? Thanks.
Bobby Lavan: When we say premium in terms of our food menu, we're not saying we're serving caviar and lobster on the menu. We're seeing premium products in sense of quality. So I mentioned there's a flight to value. When people see the menu and the quality of the product right, better ingredients, better recipes, more trending items that the consumer is eating today, that's what we mean. We're not going to, you know, filet mignon. So I think maybe it's just a matter of the linguistics, but in terms of, you order a well, vodka or a Grey Goose, that's what we're seeing on the alcohol side, but not on the food side. And I don't think our menus are, premium in that sense. It's premium in the sense that we're offering items that the consumer is eating today. They're popular, the quality is much better. The presentation of the product is much better. In terms of the plating, the plateware, the menus are much nicer. That's what we're talking about when we say we have a premium food product now.
Ian Zaffino: Okay. Thank you very much.
Operator: There is no further question at this time. This concludes the meeting. Thank you all for joining. You may now disconnect.